Operator: Good afternoon, and welcome to the Dave & Buster's First Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Cory Hatton, Head of Entertainment Finance, Investor Relations and Treasurer. Please go ahead.
Cory Hatton: Thank you, operator, and welcome to everyone on the line. Joining me on today's call are Kevin Sheehan, our Board Chair and Interim CEO; and Darin Harper, our CFO. After our prepared remarks, we will be happy to take your questions. This call is being recorded on behalf of Dave & Buster's Entertainment, Inc. and is copyrighted. Before we begin the discussion on our company's first quarter 2025 results, I'd like to call your attention to the fact that in our prepared remarks and responses to questions, certain items may be discussed, which are not entirely based on historical fact. Any of these items should be considered forward-looking statements relating to future events within the meaning of the Private Securities Litigation Reform Act of 1995, all such forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ from those anticipated. Information on these risks and uncertainties have been published in our filings with the SEC which are available on our website. In addition, our remarks today will include references to financial measures that are not defined under generally accepted accounting principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP measure contained in our earnings release this afternoon. And with that, let me turn the call over to Kevin.
Kevin M. Sheehan: Thanks, Cory. Good afternoon, everyone, and thank you for joining our call today. I'm pleased to report that we are making good progress and our operating results significantly improved over the course of the first quarter. While performance in the quarter was nowhere close to where we want and expect to be, our back-to-basics strategy is working and is driving a material recovery in our top line trajectory. In the quarter, we unwound many clear mistakes and made high confidence changes to marketing, menu, operations, remodels and games investment. While we are still in the early innings, we are improving our execution every day and have a very clear road map of work to do to continue to drive improvements and meaningful growth in the business. The leadership team and our Board are as confident as ever that our current actions will lead to significantly improved revenue, adjusted EBITDA, free cash flow and shareholder value in the months ahead. As you all know, our financial position remains strong, and we have an excellent business model with high returns on new unit investment, best-in-class store level economics, disciplined expense management and significant operating free cash flow generation. As we have discussed before, the current leadership team and the full Board are laser-focused on managing this business to drive both revenue growth and free cash flow generation. Our team continues to be energized by the opportunities we see ahead to meaningfully improve the operating performance of the business and shareholder value. Our results in May were very encouraging with a particularly robust Memorial Day weekend of solidly positive sales to kick off the summer, and we expect this momentum to continue. Results so far in June continue to show improvement. In fact, we have produced positive same-store sales in 11 of the last 30 days. Let me take a few minutes to update you on our progress on each of our Back to Basics plan and the changes we are making or plan to make to continue to unwind mistakes and deliver better execution and improved results. On marketing, we have rebalanced our media spend across channels, including getting back on TV, improved our creative and simplified our messaging. We have successfully reintroduced our historically successful and best-in-class Eat & Play combo, which has had really positive early results. We will continue to refine and sharpen our marketing strategies and lean into our historically most popular and effective promotions. We also recently introduced our first-ever Summer Pass, allowing our guests to get unlimited gameplay and great food and beverage discounts each time they come to visit. Early feedback and results have been very encouraging. On operations, we have diagnosed many of the overwhelming factors for our operators that were requiring too many not fully tested or thought-out changes to promotions, menu, service style, pricing, labor setup, remodels, all while cutting back on training and failing to properly engage with the store team. We've significantly scaled back, returned to our proven practices and have continued to spend significant time listening to our operators and their insights. To that end, we are actively rolling out a robust store manager incentive plan driven by same-store sales growth that has positively shocked the system in a very morale boosting way by allowing our managers to become the true owners of their business. On the F&B front, our classic Eat & Play combo is a huge fan favorite and continues to perform very well with a double-digit opt-in rate given our strong promotion of this incredible value. The Eat & Play combo allows our guests to sample our menu offerings and try out new games, which keeps them coming back for more. We have also corrected many pricing issues and enhanced the menu layout and are hard at work on the introduction of a new menu, bringing back our previously top-selling entries, which we think will continue to drive check. This menu will be rolled out later this year after extensive testing. I should note, our food and beverage sales have markedly improved since April. On remodels, we are approaching the completion of 48 remodels and are continuing to see relative outperformance of these units versus the system. In particular, remodel stores in the aggregate have outperformed the system by over 700 basis points over the last 3 months. As we've discussed, we launched remodels without proper prototype testing, operator input, store prioritization, local marketing or budget control. We remain confident in the remodel strategy and are actively refining the prototype with operator input, reprioritizing stores and tightened budget oversight. We continue to have a significant runway of opportunity to remodel and upgrade our system and are supremely confident that with proper execution and oversight, we will generate highly attractive ROIs and lead to meaningful increases in sales and cash flow. On games investment, we are racing to the summer with our summer of games that will be bigger and better than ever with a leaderboard competition across all of our Dave & Buster's stores, inviting guests to complete all summer long challenged with 5 new and existing racing-themed games, Hot Wheels, NASCAR Pit Stuff, Top Gun: Maverick, Cruise and Super Bikes for a chance to win a Grand Prize giveaway sweepstakes and other monthly prizes. In addition, we will also have more brand-new titles like Super Punk and Pac-Man Roller for the summer to further enhance the spring fallout of new games and solidify our spot as America's top Arcade. Additionally, we have the Umanrane rolled out in 100 D&B stores, which is driving trial and excitement by being centrally located in the Midway with an incremental big opportunity to continue to introduce this experience to additional stores, including our main event stores. New store development continues to deliver strong returns and remains a key part of our strategy. In the first quarter, we opened 2 new Dave & Buster's stores in Killeen, Texas and Lansing, Michigan. And already in the second quarter, we have opened 2 D&B locations in Freehold, New Jersey and Wilmington, North Carolina. We also successfully relocated our Honolulu, Hawaii Dave & Buster's to the premier Ala Moana Mall. And while it cost us 2 weeks of missed sales in the quarter, I'm proud to report that the new location is performing phenomenally with the highest weekly sales ever recorded in the company's long history with week 1 sales exceeding $1 million. With the opening of the first international franchise location in India in December, we expect at least 7 more international openings over the next year. As of today, we have secured agreements for over 35 additional stores in the coming years. We see international franchising as a really nice driver of highly efficient incremental growth, monetizing our brand around the world with minimal investment and risk. With regard to our ongoing CEO search, the Board of Directors is finalizing their work to identify the permanent CEO. I remain 100% committed to continue to work closely with the Board and continue to operate the business and make the right decisions to drive performance above and beyond the improvements we've seen in the last few months. We will update you further when we have definitive news to report, which is all we will be saying about this topic on today's call, given the sensitivity of ongoing discussions with candidates. Before I turn the call over to Darin, I just wanted to mention to you and importantly, our team, both in the field and in the support center. We are one team, and we are fully focused and dedicated to not just getting this business on track, but making it even better than ever before. We will -- we plan to continue to demonstrate to you, the investment community, the power of these brands and this business model. Stay tuned as we continue on our journey to deliver the full power of this great company. Now to you, Darin, to walk us through the financial results of the first quarter.
Darin E. Harper: Thank you, Kevin, and good afternoon, everyone. Turning to a more detailed review of our financials. In our first quarter of fiscal 2025, comp store sales decreased 8.3% versus the prior year period. As Kevin mentioned, the first quarter was weighed down by a very soft February with comps down 11.9%. However, March saw an initial improvement with comps down 8.4%, followed by April with comps down 4.3% to exit the quarter. Furthermore, through the first 5 weeks of the second quarter, we are seeing further sequential improvement with comps down 2.2%. We believe this sequential improvement reflects the impact of the various initiatives we've been focused on this year and there remains a lot of work ahead. During the quarter, we generated revenue of $568 million, net income of $22 million or $0.62 per diluted share, adjusted net income of $27 million or $0.76 per diluted share and adjusted EBITDA of $136 million, resulting in an adjusted EBITDA margin of 24%. As a reminder, reconciliations of all non-GAAP financial measures can be found in today's press release. A quick callout on the attribution of our adjusted EBITDA decline in the quarter versus the prior year period. With the cadence of our new store openings in late Q1 and early Q2, including our Hawaii relocation, we incurred a $2.7 million increase in preopening expenses versus the prior year. We generated $96 million in operating cash flow during the first quarter, ending the quarter with $12 million in cash and $411 million of availability under our $650 million revolving credit facility, net of $14 million in outstanding letters of credit. We ended the quarter with a total net total leverage ratio of 3.1x as defined under our credit agreement. In the first quarter, we invested a total of $115 million in capital additions on a gross basis or $110 million on a net basis when factoring in payments from landlords. As we mentioned to you before, we are focused on converting our significant operating cash flow to free cash flow through more strict management and capital spend, eliminating ineffective and inefficient spend. We are committed to demonstrating our ability to generate free cash flow while continuing to invest in double-digit new store growth, new gains, other high ROI initiatives and a more diligent remodel program. We reiterate our previously provided expectations for certain key cash flow items that are readily in our control in fiscal 2025, which ends on February 3, 2026. We continue to expect total capital expenditures to not exceed $220 million. This includes spend on net new store capital, remodels and other initiatives, games capital and maintenance capital. We further expect preopening expense of approximately $20 million and interest expense within the range of $130 million to $140 million for fiscal 2025. We are firmly committed to our high ROI and historically successful new store strategy with the opening of 2 new Dave & Buster's in the first quarter, one in Colleen, Texas and the other in Lansing, Michigan, both opening in the final weeks of the first quarter and 1 store relocation in Honolulu, Hawaii. As Kevin mentioned, quarter-to-date, we have opened 2 additional Dave & Buster's stores at Freehold, New Jersey and Wilmington, North Carolina. and we continue to expect a total of 10 to 12 new store openings in fiscal 2025. In relation to our new store growth strategy and expectations for net new store capital in fiscal 2025, we have 9 owned real estate assets today at varying stages of development, ranging from open and operating stores to recently acquired land for future stores at attractive sites. We are in active discussions with potential partners to monetize this real estate to more efficiently fund our store development and more efficiently manage our cash flows. And with that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question today comes from Andy Barish with Jefferies.
Andrew Marc Barish: Just wondering if at this stage, you're able to kind of have some degree of predictability in terms of the trajectory of the same-store sales in the business, maybe kind of how you're looking at it on a multi-year stack basis or anything like that, that may be helpful for us to try to project the rest of the year and what's been kind of a difficult or moving target.
Kevin M. Sheehan: And I think you just got to be a little fair as we're coming out of where we've been in the last couple of years. As we see it, we've got a load of opportunity here to drive top line sales. And you've heard me use the analogy many times in sports, we're in the second or third inning or in the beginning of the second quarter of a basketball game. We've got a long way to go. So getting the business fixed and to the right cadence is job one. And that's going to look like some outsized growth as we go through the next couple of years. But over the long term, what I've communicated to our team is this is a business should grow in the 3% kind of same-store sales with another percent or so on new stores. And then it beholds us to get another percent on incremental opportunities by getting into the expansion of the international, selling apparel that we're starting to sell on the website, having a catering operation that we're starting now as well. So lots of little side things that we could do. And then you take that growth in the revenues and then you discipline that with lean management and best-in-class cost controls to drive a much higher conversion to EBITDA. And then you manage your cash effectively, as Darin was talking about, very smartly. We need to first prove to you guys that there's a powerful amount of cash generation in this business, and we will do that this year. And then you guys will start to see that we're taking that cash flow and intellectually managing it to drive shareholder value. We're in this for one purpose and it is to drive the share price to heights it's never seen and should have been all along.
Andrew Marc Barish: Okay. And then Darin, it looks like CapEx is very front-end loaded this year, half of your annual CapEx here in the first quarter, you did, I think most of the remodels that are going to happen this year. Can you just kind of give us a sense of what that sort of last fats look like? Or how much you spent? I imagine there was some spending upfront already for arenas and social bays and just trying to kind of get a breakdown of what that CapEx looks like without having read the Q yet, I guess that's -- that looks like it's out.
Darin E. Harper: Yes. Yes, that's right, Andy. Yes, very front-end loaded, as you mentioned, and that was right in line with expectations because we had a lot of new stores coming online within Q4 and Q1. Number one, yes, we were sort of on the tail end of some more significant spending on the remodel side. And then we had a fair amount of capital with respect to gains that supported our spring break games and heading into summer of games. But yes, of the $115 million gross spend. $53 million of that was related to new stores, about $20 million for remodels and other initiatives, $30 million on games and about $12.5 million on maintenance CapEx. So look, we remain confident. Obviously, we reiterated our full year guidance. And I feel like that continues to be a good number for us to support everything that we need to do. Obviously, inherent in that is our ongoing sale-leaseback transactions with key partners that we feel very, very good about. And that's how we continue to see the balance of the year.
Operator: The next question is from Jeff Farmer with Gordon Haskett.
Jeffrey Daniel Farmer: Just drilling down on the improved same-store sales trend. Can you share anything in terms of what that's looked like across things like dayparts, week parts, young adults, families, geographies. Anything that sort of paints a little bit broader picture in terms of what you guys are seeing on the improved trend?
Darin E. Harper: Yes. Yes, I'll take that. Yes. So we're really encouraged from where we're seeing the improvement. Number one, it's predominantly driven by improvement in traffic. And we're seeing that benefit entertainment and F&B both. Furthermore, we're seeing some nice check growth on the F&B side, and that's not through taking price, but it's through higher attach coming from our Eaton play combo that we've been promoting. And as Kevin has said, we've seen double-digit opt-in for that, which is great. We are discounting less. And our operators are hyper-focused on our peak hours right now. And in driving better F&B growth through speed of service through server suggest, et cetera. Furthermore, what we're really encouraged with is the strength that we're seeing on our weekends really throughout this calendar year, our weekend growth has far outpaced our weekday. And we're really encouraged by that because that's really focused on us driving a lot of this awareness, their media strategy through our messaging through our offer and it's driving people in at these key peak times. We are seeing in the credit card data. It does appear as if some of the higher income is trading better a bit of a trade down that we think we'll be in the beneficiaries of. But the net middle consumer is performing really well also. So just a bit of color there that hopefully give you a little bit of perspective on where we're seeing this improvement. Go ahead.
Kevin M. Sheehan: Another just your point is spot on because this is an area of importance to me. as we look to regain some of our revenue in the late night dayparts and we're testing things with lunches. And we're trying to push business into these underutilized time periods of the week and that is going to remain a focus. But of course, as Darin pointed out, getting it right in the important peak periods is also extremely important. But we feel we have a good opportunity to push the time periods that were busy further and further out.
Jeffrey Daniel Farmer: And then just one quick follow-up. Kevin, you mentioned the -- I think it's a new store manager incentive program. So can you just sort of level set us in terms of where you were and what it looks like now?
Kevin M. Sheehan: Yes. I mean I think we now have, in my opinion, and somebody can prove me wrong, a best-in-class GM program where we have a very competitive salary. We've got a strong bonus profile if we hit the right metrics. And we now have a long-term incentive that will lock our people in and it will attract the best-in-breed of potential new general managers, whereas it works on a rolling 3-year basis. So every year, you are rewarded based on your same-store sales, and it all starts with positive same-store sales and the higher you get, the better your payoff. And then that amount is accrued for. The -- and it's going to be paid over 3 years. The first pay -- payment, the first year is paid right away and then the second and third roll into year 2 and then year 3. And then in year 2, you get the same sort of thing and you accrue an amount for year 2 and then you get a payment for 1/3 of it that year and then you get a second 1/3 from the first year and then you push the second year's program into years 3 and 4. So I don't know if I said it clearly, but over a 3-year period, you're accruing on a 3-year basis where you could start to get some meaningful payouts. If you do the one thing that we care about immensely, and that is to drive same-store sales, get out of the general -- out of the store, get into the community, talk to the leaders of all the corporations, talk about why it's a great place to have a corporate event. If you're on the main event side, talk about bowling leagues and civic associations. So we just think it's going to drive the behavior of the general manager to start to think more like a CEO of a business as opposed to -- I think I said on the last call, table stakes of coming in and making sure the lights are on, the team is there for the day, and we've got the right food order and all the games are working. We now need to level set the business to a much higher level.
Operator: The next question is from Andrew Strelzik with BMO.
Andrew Strelzik: My first one on the improvement in the comp trends, are you able to identify or unpack which of the initiatives that you've implemented have really been the biggest contributors that you saw kind of a step function, whether it's the marketing side or the upside. And then when you talked about having a very clear road map moving forward over the next 3 or 6 months, what are some of the biggest opportunities that you think still remain?
Darin E. Harper: Yes. So with respect to the Claire's question, I think we're very encouraged is through our improvement in the traffic side. And that's supported by brand tracker work that we have where our guests are telling us they are more aware the promotions that were on media with right now are top of mind the message new games is driving them to make a visit, and it's impacted their perception, et cetera. So we're seeing a lot of consumer stats that are matching up well with that improvement in the traffic trend, number one. And then a lot of the things that we've also promoted again with the Eaton & Play Combo, really plusing that up, going back to what's really worked well with us on that front. Again, just seeing really good attachment on that, which is driving food check, and we're really pleased with that. So it's a number of things like that, that we feel we have really good confidence that while we're still in very, very early innings with this, we feel like we're getting the right momentum with it. And then -- in terms of where we continue to have opportunity, again, just going back to we are in the early innings. I'd say second to third inning on the developments of these strategies. And we believe that there's more that we can do from -- from a marketing standpoint, just even better optimizing our spend getting the right messaging, continuing to improve on the mix. On the game side, there's further work that we can really do to tap into what our guests are telling us what they really want. And I think the pivot from where some of the entertainment on the store of the future was. That's where we want to go. There's a big opportunity there. There's continued opportunity to improve operations and so those are all areas that we've now well positioned that the train on the tracks with that we can just continue to get momentum as we go through the year.
Andrew Strelzik: Okay. And maybe my follow-up. Over the last couple of years, there were a lot of costs that were either optimized or taken out of the business. Is there any sense as you do this work that you might need to reinvest in the business to kind of drive that long-term performance or any areas specifically where you feel like you need to lean in from an investment perspective?
Kevin M. Sheehan: I mean I don't think anything that stands out as being larger than life. We we're going to benefit now from spending our money smarter. As was alluded to earlier, all the money that was spent on arenas and all that stuff, it's now going to be spent on initiatives that we test and make sure our guests love and then we'll roll it out, and it will be much more efficient than some of the stuff that was done in the past. So I don't see that. And I think once we get the top line going the way it needs to go and which we should start to see, hopefully, a better place in the second quarter and a much better place in the third quarter, that same-store sales cures a lot of sins, and then we get back to building the business. And then we never have -- we should forget Darin and my background of lean management and wanted to make sure we're best-in-class, we're executing. Tony, who runs the operations is always focused on the on the labor side of it and making sure we keep that top of mind and -- but provide a great guest experience for our guests when they come, so that they come back and return and make sure the experience is right. And that's all the stuff that we're working on with the remodels and everything to bring the traffic back. We were silent for so long when you think about the fact that Aaron talked about getting back into the marketing, we were we were marketing to digital people that weren't getting the reach and frequency that would -- we're learning how to get right now. And the marketing store is a long way to go, but we're moving in the right direction. I'm excited because every time we go through a new marketing initiative, we find out we got to a certain percentage of what we thought we could get to, which leaves so much room for us to build in the future. So lots of opportunity, lots of excitement. And I think the costs will make sense out of that as we go forward as long as we get the same-store sales, which we're all very confident with.
Operator: Next question is from Todd Brooks with the Benchmark Company.
Todd Morrison Brooks: Two for me as well. First, on the gaming floor, and the newness that's been flowed in over the course of this year, where do we stand for a number of new cabinets after whatever has been flowed in for summer games? And then, what's the outlook exiting the year and there was kind of an earlier discussion that there were a couple of years where we didn't touch the game floor. So can we walk through the cadence of how you get the game floor back to the right balance and newness over the next quarters here?
Kevin M. Sheehan: Yes, I can start with that. So total number of new cabinets that is being rolled out is eighth as well as 2 new attractions on top of that. The attractions being human crane and cotton candy. So if you include those 2, you're looking at about 10 per location, which is fairly consistent with where the brand had been pre-COVID. So we feel good about that. And again, it's a game that have high appeal with our guests, good IP. We have exclusivity with the new Hot Wheels game, which has given us the ability to do a nice partnership with Mattel. We've got sweet stakes associated with that to where the consumer with a new leaderboard concept that we rolled out can win a new car. And so that's creating a lot of buzz, and we're getting some really, really good impressions with that. So that gives you some perspective of what we've rolled out here. Look, in terms of where we go from here, I think there's a lot of learnings that we had with the remodel program on making sure that we focus on the right entertainment experience that fits well with the guest occasion that kind of fits within the Power Card ecosystem, and that's where we've really driven A lot of the demand is -- that's what guests are familiar with. That's the type of experience that they want. And we are currently and actively working with our partners on finding the right types of attractions that aren't just ubiquitous attractions, but forms of entertainment that fit well with our guests at all of the occasion, but also address the need states from our guests wanting to gamify their experience more and interact more with those that are in their group. So there's a number of things that we're working on that we're excited about that we'll look forward to sharing in the months ahead.
Todd Morrison Brooks: Okay. Great. And then if we're just looking at the same-store sales result for the quarter, I know there's a lot of moving pieces, and you said you were encouraged by the fact that it was predominantly traffic driven the recent momentum. But can you give us any color looking back to Q1 of kind of a traffic check type of split to understand any sort of pricing changes that were made that might have impacted average check? Or just any sort of nuances that could add some more color to the same-store sales result that was reported?
Kevin M. Sheehan: Yes, sure. We historically do not provide any specific details on traffic versus check. But I'd say when you look at the predominant impacts on that sales trend, most of that is coming from traffic. Going back, there was no discrete pricing that we took during the quarter. We did moderate some of the discounting or perhaps said differently, we did not get as aggressive with discounting as the brand did last year. So for instance, we're rolling over 50% off food from the prior year. And obviously, we're now leaning into our summer games campaign rather than 50% off food. That's going to be accretive to our F&B check. And so that's a portion of the story. But the majority is driven by just an improvement in traffic.
Operator: The next question is from Dennis Geiger with UBS.
Dennis Geiger: I wanted to first ask, from here, a lot of compelling initiatives to improve the trajectory. Just as we think about some of the ongoing challenges, Kevin, maybe framing up how you think about sort of macro as a headwind right now versus some of those brand specific or self-inflected issues that you're clearly improving, but that maybe just take a little bit of time to work through. Is it more the latter than sort of the macro that you were in, in your view as far as some of the lingering pressure that's still out there as you work through the fixes?
Kevin M. Sheehan: I think the work on the fixes is going to take us through a good portion of the year as we roll through this quarter. We're still benefiting from that, and we will continue to. And we're starting to make new initiatives that are driving value. And I think what happens for us because we've got so much power going behind the business right now that you lose the impact to the economic landscape. We're aware of it. but because there's just so many things that we're working on that we feel pretty confident with that we'll ride through this period and hopefully, come out the other side a much stronger company and doing, I would say, better than most in the industry because of the effort we're doing to make up for the past. I don't know if I answered that well, but...
Dennis Geiger: No, that makes good sense. And maybe just on that, as you talk about getting through and getting to the other side, you gave some comments on the call. I think with respect to -- at a high level, right, as an algorithm maybe long term, I think you spoke about 3% same-store sales maybe longer term on the other side of this. And I probably heard it wrong, but maybe another 1% or so on new stores. Can you -- and then some other things to drive revenue growth you touched on? Can you correct me on the new store comment that you made and what that new store looks like longer term, if you were directly speaking to that?
Kevin M. Sheehan: Yes. I mean at the end of the day, this is a Kevin Zhang with my team, and I believe in we should be best-in-class. And if we're all thinking like owners like the new General Managers program is set out to support, we should be looking to drive same-store sales, positive growth anywhere from 3%. And as I said, in their programs, they do much better beyond 3%, to be honest. So we're driving the right behavior. So that's going to be the -- to me, the base business and then we have the growth from the new stores, and that's going to add on to that and whatever the percentage is something between 1% and 2%. I suspect as we get bigger and bigger. And then it is incumbent on us as a management team to be thoughtful about how do we deepen our relationship and how do we extend our business proposition based on the value of the Dave & Buster's and the Main Event brands. And so that -- I'm thinking about that encompassing international and some of the other things that we haven't announced that we're pushing to drive to extend our revenue opportunity. So it's an ongoing thing that I've used in many other companies along the way and just getting people rallied around the metrics that make sense and are important to me and the leadership and the Board kind of helps people understanding. And I was saying to the guys before, with the number of shares that we have outstanding. I'm blistering on everybody's forehead, $350,000, is $0.01 of earnings per share or whatever the number is. And when you put it into that terms, all of a sudden people can understand holy cow, I can make a difference, and that's where we're going to hold them to. Everybody's got to start thinking like owners of the business.
Operator: The next question is from Brian Mullan with Piper Sandler.
Brian Hugh Mullan: Just a question on the game side. On the last call, you referenced, I think, the value proposition for the consumer, perhaps testing some things that could extend the time of play. Can you just talk about those tests? Anything you've learned so far, what you're measuring and looking to see and how you'd expect that to progress?
Kevin M. Sheehan: Yes. Yes, absolutely. So a couple of things that we're doing there. One, as we think about this Eaton & Play Combo, one of the things that we added to it this year for the first time in the brand is an all-you-can-play option. And that is of all of our Eaton play combos. We've got 30% of folks are upgrading to that all-you-can-play option. And so it's very clear in our consumer research and feedback that we're getting is that guests like the ability to know, hey, I can spend this much and have a known quantity of time of which to play. So that's one aspect. But probably the bigger thing that we are in a couple of phases of testing is on our kiosk, and that's testing a more simplified rate card structure for our guests. I think we all agree that last year, we kind of made it a little too confusing for the guests. So we're trying to simplify it. and bring back the right flow for the guest in terms of initial pricing and super charges, et cetera. But along with that is testing bringing our game pricing down to extend the amount of time that they're in the midway. That was something that we believe we might have overextended a little bit last year. And that's an area where, again, we're focused on getting the same amount, if not more, from our guests, but giving them better value through the right game play. And so we're being very strategic with how we price redemption versus non-redemption games to really give them the best experience possible while managing our margins in the right way. So early days in that test, but -- but there's -- we're pretty excited about the learnings that we've gotten so far.
Brian Hugh Mullan: Okay. And then on the food side, on this call, you've talked about seeing some average check lift from meet and play, which is great. I wanted to ask about just separately. I think you've talked about making some changes to the menu design or configuration. Have you taken any actions on that so far? Is that something you're still working on if you have, how is the consumer response been?
Kevin M. Sheehan: Yes. It's very important, by the way. So what we did when we got in, we thought that the menu didn't present to our guests, the menu that we thought they wanted. So we reskinned the existing menu and just highlighted the opportunities for our guests that we think they want, and that's helped out on our ticket, and it's been successful. So that was part A. We could do that quickly by just reskinning the menu. Part 2, which is the more evolution, and we want to do this right and we want to do it one time. As we're bringing back the menu and the opportunities that were the most successful for the Dave & Buster is over its long history, and so we're going to showcase those entry entrees and beverages and desserts and shoot the color -- the pictures well and make sure that the menu is very appetizing. And then we're testing it in different versions that go into test in the next couple of weeks. And then we're going to learn from that and retest if we need to and roll out a menu towards the fall, hopefully, in time for when the business picks up in the fall. But we want to do it in a very measured way. We've included a lot of input at every stage from our operators made sure they felt part of it. We wanted to make sure we understood that we weren't creating more complexity in the dining, in the kitchen. So we're doing a lot of work to make sure we do this really well and really right the first time. .
Operator: Next question is from Jake Bartlett with Truth Securities.
Jake Rowland Bartlett: I just wanted to start quickly with a clarification, another stab at the question, Kevin, that you made about unit growth. It's so different to think about 1% to 2% growth versus the 5% to 6% growth that we've seen in the last -- that's guided this year and we've seen recently. So is that the message that you guys are really rethinking the unit growth trajectory of this business and focusing, I think that would mean you're focusing more on same-store sales and free cash flow generation. But I just want to make sure it seems like a really a big change if that really kind of is what you're trying to communicate. And then I have a couple of follow-ups.
Darin E. Harper: Yes. Jake, Darin. Yes, I'm glad you asked that question, yes. I think Kevin was kind of providing just sort of a high-level summary view sort of internally. But no, we still plan on 10 to 14 new units a year for the foreseeable future, which obviously is a much higher percentage. So no, please don't remit to that comment as a change in strategy and capital allocation with respect to new stores.
Jake Rowland Bartlett: Great. I really appreciate that. And my other more real questions are on what should we expect in the next month or 2? I look at kind of the May and the performance is really strong and impressive to see that improvement. I want to understand better what is happening in June and July from here. The games that were mentioned, I believe the new ones that came on -- have been in place throughout the last 5 weeks, so that those are kind of included. I think maybe summer of games marketing starts. But just to understand what changes from here to potentially, I would think, drive maybe an improvement from here?
Darin E. Harper: Yes. So yes, as you noted, we -- our game rollout was sort of phased between spring break and summer. And so that is now fully loaded. We're continuing to finish rolling out human crane and activating that in 100 Dave & Buster's. So that's a key thing. We've launched our Summer Pass program as well about 3 weeks ago. Early days, we're really encouraged with that. Obviously, that the pass model is something that consumers have -- a subset of our consumers have really said that they like. So we're pretty pleased with that initial performance as well. And we're launching our new leaderboard as well across Dave & Buster's associated with a subset of these new games, particularly our new Hot Wheels game that we're now promoting, again, with the sweet stakes to where you have the ability with your high scores to be in the drawing for this new game. We'll also have first, second, third place prizes throughout the location as well. Again, really, really strong impression with that campaign right now that we're really excited about. So I think it's continuing to drive that momentum, continuing to optimize that media spend along the way. And now, as we've said, we've rolled out the new incentive model for our field, and we've got the field focused on a hospitality model and a separate incentive program to really drive food attach during this period of time as well. So there's a number of different things that we're focused on that are just continuing to drive a lot of what we've implemented, but plus it up. And then that gives us time to continue to develop our initiatives for -- heading into next year as well.
Operator: The next question is from Brian Vaccaro with Raymond James.
Brian Michael Vaccaro: Just 2 quick ones on margins, if I could. First, obviously, in the first quarter, there was the sales deleverage in the margins. But can you unpack the other OpEx line a bit more for us? And are you expecting -- I think there was some higher ad and maybe some R&D, but are you expecting those to continue into the second quarter or rest of the year?
Darin E. Harper: So part of that increase is some incremental marketing spend that we had in the period as well. So we had about $4.7 million incremental marketing spend to help drive and promote these initiatives. So you do have that. And you've got the - we do have some incremental R&M spend as well that was anticipated. A lot of that is focused on our game room floor to really drive and make sure that with the introduction of all these new games, we've got the games working. We've got things refreshed the right way. And so there's an element of that in that cost as well. And so I'd say, look, we don't anticipate the cadence of marketing to continue at that base for the year. But some lines with R&M, we are sort of anticipating a little bit more spend. This year versus the prior year. We feel like that's the right investment for us to drive our growth and get us to top line positivity.
Brian Michael Vaccaro: All right. And then if I could just follow up on just the comps themselves and the trajectory here. Any color on walk-in versus your events business? I know there's been some investments in new SaaS and team members to lead to special events business. So any color there? And then any color differences between Dave & Buster's and Main Event because I think a lot of these initiatives are focused on Dave & Busters. So any differences worth noting there?
Kevin M. Sheehan: Yes, sure. Yes. Overall, we've seen from a special event side, some good performance there that's outpaced our walk-in for the year, it's up slightly year-over-year. Overall, I'd say on balance, D&B made event are continuing to perform similarly. But there are elements of areas that we're focusing on D&B that we're seeing some metrics, which, again, give us further confidence on the things that we're really focused on are driving the business forward. We are seeing some even greener shoots on aspects of the D&B business. But overall, nothing extraordinarily notable to call out.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Kevin Sheehan for any closing remarks.
Kevin M. Sheehan: Thank you, operator, and thank you all for joining. In closing, our back-to-basic strategy is working, and we are driving a material recovery in our top line trajectory. We are seeing in real time that our compelling product offering and value proposition are driving renewed interest from our loyal guests and new guests this summer. We have a very strong business model with exceptional brand awareness, high guest satisfaction and affinity, national scale, high returns on new units, best-in-class unit economics disciplined cost management and strong free cash flow. Our leadership team, our operators and our Board are fully focused on driving revenue growth and free cash flow. We're excited about the opportunities ahead to enhance performance and increase shareholder value. We look forward to speaking with you again soon, and have a great evening. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.